Operator: [Foreign Language] Good morning, ladies and gentlemen and welcome to the Boralex Fourth Quarter and Year End 2021 Financial Results Conference Call. [Operator Instructions] Please also note that the conference is being recorded. [Operator Instructions] I would now like to turn the conference over to Mr. Stephane Milot, Senior Director of Investor Relations for Boralex. Please go ahead.
Stephane Milot: [Foreign Language] Thank you, Operator. So good morning everyone. Welcome to Boralex fourth quarter results conference call. So joining me today from our head office in Montreal, Patrick Decostre, our President and Chief Executive Officer, Bruno Guilmette, our Vice President and Chief Financial Officer and other members of our management and finance team. Decostre will begin with comments about market condition and the highlights of the quarter. Afterward, Mr. Guilmette will be – well, sorry – will carry on with financial highlights and then will be available to answer your questions.  As you know, during this call, we will discuss forward-looking and historical information. When talking about the future, there are a variety of risk factors that have been listed in our different filings with securities, regulators, which can materially change our estimated results. So these documents are available for consultation at sedar.com. In our webcast presentation document, the disclosed results are presented both on a consolidated and on a combined basis. Unless otherwise stated, all comments made in this presentation will refer to combined basis figures. Please note that combined is non-GAAP financial measures and do not have standardized meaning under IFRS.  Accordingly combined may not be comparable to similarly named measures used by other companies. So for more details, see the non-IFRS and other financial measures section in the MD&A. The press release, the MD&A, the consolidated financial statement, and the copy of today’s presentation are all posted on the Boralex website at boralex.com under the Investor's section. So if you wish to receive a copy of these documents, you could also contact me.  Mr. Decostre will now start with his comments. So please go ahead Decostre.
Patrick Decostre: Yes, Stephane, thank you. And good morning, everyone. I am pleased to present you our fourth quarter results today. Thanks to the integration of acquisition, the commissioning of new wind and solar farms as well as the positive effect relating to sharp increases in market prices in France, we ended the quarter with a combined EBITDA of $163 million, a 5% increase over the fourth quarter last year. Production was lower than the fourth quarter last year and also lower than anticipated production due to soft wind conditions in France and Canada. Our development teams continue to be very active during the quarter, adding 137 megawatt of project to our pipeline and advancing three project totaling 41 megawatt in construction or ready-to-build phase of our growth path. In terms of market conditions, delays in approval of certain portion of the build back better plan in the U.S. caused a delay in the announcement of the results 800 megawatt of project we submitted with NYSERDA in September. We are now expecting results in March for this bid.  In Quebec, as announced a 300 megawatt request for proposal for wind energy and a 480 megawatt RFP for renewable energy are planned for this year. The process for approval of the Hydro-Québec transportation line to the city of New York is also progressing. As mentioned before, this combined with the Quebec green plan should be positive for the overall development of renewable energy in Quebec in the coming years. Our 200 megawatt Apuiat project is in fact a good sign that wind energy development in Quebec has restarted. Moving to France. We remain highly confident in the future development of renewable energy. As mentioned before, RTE the French transmission system operator recently issued six different scenario for 2050 production mix. And all of them are highly promising for renewable energy. The most conservative scenario refers to a solar production seven times higher than today, as well as onshore wind production, 2.5 times higher. The most ambitious scenario indicates a solar production 21 times higher than today, an onshore wind production four times higher. France is facing important issues with the aging of its nuclear fleet and more specifically recent corrosion issues noticed with some reactor causing temporary shutdowns.  For instance, let's consider for the moment, the recent assertion from the chairman of the French Nuclear Safety Authority, the Autorité de sûreté nucléaire or ASN. Regarding the lack of margin to support contingencies and the difficulty the nuclear industry will have to achieve even the most conservative RTE scenario of 50% nuke and 50% renewable energy. The ASN Chairman also insisted that margins need to be maintained to avoid facing a trade-off between security of supply and facility safety. In February 2022, President Macron said that he hope to double the country's renewable energy production by 2030, an increased solar production ten-fold, as well as double onshore wind power capacity by 2050.  As you can see, there is plenty of potential in the French market and let's not lose sight that the market is not an easy one to develop with strong barrier to entry, which is an important competitive edge for an established player like us. I will now review the main variances in our portfolio of project. We added six wind power – wind project and five solar project in France to the preliminary phase representing a total of 137 megawatt plus 23 megawatt for the optimization of wind project. Project in the pipeline continue to progress with 124 megawatt of project moving to mid-stage and 101 megawatt of project moving to advanced stage. In total, we are now developing a portfolio of wind and solar project of 3.2 gigawatt and 190 megawatt of storage project. Let’s move now to the review of changes to the growth path. I said previously, two wind project and one solar project in France totally 41 megawatt moved to the construction or ready to build phase. We know a 647 megawatt in the growth path, 493 megawatt in the secured stage and 154 megawatt in the under construction or and ready to build phase. We also have a three megawatt storage project under construction in France. In total, when adding the growth path to our existing production capacity, potential capacity is 3.1 gigawatt. In conclusion, as you can see on Slide 12, we’re pursuing the execution of our strategic plan and are making good progress on all four strategic orientations. I have talked about growth and diversification, but we also announced the signing of two corporate PPA recently. A 20-year contract with METRO France and a three-year contract with L’Oréal in France. Market conditions are highly favorable for corporate PPA, and we are continuing to see a very strong interest from corporations. In terms of our optimization, I would like to highlight that we started the repairing work at our Mont de Bézard 2 project and optimized maintenance for wind operations total in 161 megawatt in Canada. One last point from my part. Today, we published our 2021 CSR report. I invite you to read it as you will notice, we made very important progress in 2021 with regards to CSR and have a clear path for years to come. I would like to take this opportunity to thanks our CSR Director, Mihaela Stefanov. Mihaela rapidly took charges of the CSR strategy, mobilize our entire organization around CSR and ESG criterias. CSR has always been part of Boralex DNA, but we have been drastically increased – we have drastically increased the pace of change and accountability in the past year. This complete my part, I would know let Bruno cover the financial portion in more detail. And we’ll be back later for the question period.
Bruno Guilmette: Thank you, Patrick. Good morning, everyone. I will start with a review of the progress made in light of our 2025 corporate objectives. Capacity increased in the fourth quarter with the commissioning of our wind farm La Grande Borne on December 1, 2021, our floating solar farm Peyrolles on December 14 and our solar farm [indiscernible] on December 23, total capacity now reaches 2.5 gigawatt. Our last 12 months of EBITDA continued to increase, but the AFFO slightly decreased due to lower wind volumes for comparable assets. Our reinvestment ratio stands at 48%, which is slightly lower than our 50% to 70% target because of the aforementioned decrease in AFFO. About our CSR strategy we continued to make good progress on the environment, society and governance aspects. We finalized the assessment of our carbon footprint and have set a 2025 target for CO2 avoided. We created a working group to analyze and integrate TCFD recommendations and held voluntary training sessions on the impacts and conclusions of COP26. We completed our training on indigenous culture with a strong participation rate of 96% in Canada and 93% for North America. Finally, we completed the revised version of our procurement policy. Taking a look at our debt objective now. Our corporate debt to total debt ratio increased slightly compared to the end of 2020. We are pursuing the work toward our objective to obtain an investment grade rating in order to broaden our financing options and increase our flexibility. I will now cover the financial results for the quarter, starting with production. The fourth quarter was challenging due to weak wind conditions in Canada, and also in France. Wind production in Canada was 11% lower than our anticipated production and 10% lower than in the same quarter last year. In France, wind production was 17% lower than anticipated and 14% lower than in the same quarter last year. Overall, total wind production for the quarter combining Canada and France was 13% lower than anticipated and 12% lower than last year. Turning to hydro now. It was another strong quarter for our U.S. hydro assets with production 23% higher than anticipated production and 85% higher than in the same quarter last year. This more than compensated for the weakness in Canadian hydro and resulted in total production for the hydro sector, 8% higher than anticipated and 20% higher than in the same quarter last year. Finally production from solar was 11% lower than anticipated due to slight delays in commissioning of new solar plants in France and lower production and anticipated from our U.S. solar assets. In summary, total production for the quarter was 12% lower than anticipated and 6% lower than last year. Overall, for the year, total production was 6% lower than anticipated, but 7% higher than in a previous year with growth coming from our U.S. hydro operations, U.S. solar acquisitions and Canadian wind acquisition.  Fourth quarter revenues were down 6% compared to last year, mostly due to the decrease coming from the wind and thermal segments. For the fourth quarter of 2021, operating income was up 8% to 82 million and EBITDA was a 163 million compared to 155 million for the same quarter of 2020, a 5% increase. We generated 81 million of net cash flows related to operating activities compared to 59 million in the same quarter last year. Cash flows from operations were 116 million in the fourth quarter, a 15 million increase over the same quarter of the previous year. AFFO was 58 million compared to 67 million. The decrease is mainly due to lower volumes for comparable assets in the wind power segment. Our financial position remains solid with our net debt to total market capital ratio of 48% on December 31, 2021 compared to 41% on December 31, 2020. In conclusion, Q4 EBITDA was higher than in the same quarter last year due to acquisitions, commissioning of new assets, the increase in electricity prices in our optimization initiatives. In 2021, we invested in our development resources and updated our corporate targets. 2022 will be a year of execution on our four strategic orientations while many projects underway are expected to materialize. Lastly, our balance sheet remains solid and we will continue to work to optimize our capital structure and improve our financial flexibility. Thank you for your attention. We are now ready to take your questions.
Operator: Thank you. [Operator Instructions] We have a first question coming from the line of Rupert Merer from National Bank. Please ask your question.
Rupert Merer: Hey, good morning, everyone.
Patrick Decostre: Hi, Rupert. Hi, morning.
Rupert Merer: I’m wondering if you can give us a little more color on the contract structure in France that enable the higher realized power price in a quarter. And if you can tell us how many of your contracts are structured in a way that you can see the upside on spot prices?
Patrick Decostre: Yes, sure. During the quarter in France, the market price were around €200 per megawatt hour, and with the – some of our feed-in premium contract due to high market price, we are reimbursing money to EDF over – when the price is over the strike price, which is obviously the case at €200 per megawatt hour. We have an installed capacity of 201 megawatt exactly, which is with this kind of contract where, when the cumulative sum of the money we receive from EDF from the beginning of the contract is exactly equal to the cumulative sum we have paid to EDF. We are at a kind of break even where we don’t have to continue to reimburse EDF. And then we are enjoying the high price and benefiting from the high price of electricity. So this is for 201 megawatt, and this is also for 125 megawatt of project under construction.
Rupert Merer: Okay. So more recent projects than the newer projects that have that contract.
Patrick Decostre: Yes, exactly. It’s some CR 16, the CR 17 and the CR, which come from period one to five of the RFP in France. So this is the 201 megawatt. And with the under construction project, as I mentioned, it’s 125, and this is 58 megawatt from CR 17, because you have to take – careful to take the whole power when it’s referring and for the RFP period one to five, 867 megawatt. So just to be a simple way to see it, it’s in under construction project, the only project which is excluded from this kind of asymmetric contract for difference is [indiscernible] megawatt, but all other projects are benefiting from disclose.
Rupert Merer: Great and future RFPs for the government, do you think they’ll have this contract structure and does that give you potential to see higher returns on future bids?
Patrick Decostre: No, the future, the RFP of last November did not include disclose. So we are not benefiting from that. What is important for the future is two things. The first thing is during Q4, we – there was this break even point, tipping point when the cumulative sum received is equal to the cumulative sum paid. So you can make the math for Q1, for example, and look to the price as of today, the first month and 23rd days in February and evaluate what it will be and disclose apply roughly from the first of January 4 for the contract. So this is one thing. The other thing is when you look to the future, and I will let you do the math, but you can go to European Energy Exchange, which is the exchange market for forward contract in Europe and see how the market is evaluating the next quarter and evaluate the impact on Boralex. And obviously there is an interesting factors with our high wind exposure in France, despite the last quarter, the seasonality is in favor because seasonality in production and seasonality in price is in favor of Boralex. And the second point, which is interesting is that the important interest incorporate PPA with the signal of the price on the market gives some opportunity we are digging for or hunting for to take advantage of this high price in Europe.
Rupert Merer: That was going to be my follow-up question if I may, looking at those corporate PPAs, are you seeing inflation in potential pricing in those PPAs where the corporate PPA should be more attractive than the government PPA?
Bruno Guilmette: Yeah. there is clearly an interest, when the price on the market is around €200. And I'm not saying that it will stay at this level, but what I think is that it will not land back to like €40 to €50 in the future, because the reason of the high price in Europe, it's not only the situation with Russia and just the price of the gas. It's the problem on the nuclear fleet, I’ve just mentioned it. Production from EDF has gone from, on average 400 Terawatt-hour a year to 300 Terawatt-hour this year and next year. This is already announced by EDF. So this puts a lot of pressure on the global system. Germany has closed 4 gigawatt on the December 31, and we'll close another 4 gigawatt of nuclear on the next December 31. So all this pressure, the price of CO2 create an environment when – where the corporation are, are not looking only to corporate PPA for ESG and marketing like in the past, but they're looking for that to secure their electricity price on the long-term. And so this creates a lot of optionality to us.
Rupert Merer: Great. Thanks for color. I'll leave it there.
Patrick Decostre: Maybe just one comment that Robert to make sure, you modeled it right from the effect on the contracts is that you have released a care of the seasonality, like meaning that Q1, Q4 are usually stronger, which means higher production and higher prices, but Q2 Q3, you have to model lower prices forward. If you look at this, because it's just the seasonality of the business that makes it work like that. You'll see that anyway, if you look at the forward prices or forward contracts.
Rupert Merer: Very good. Thank you.
Patrick Decostre: Thanks.
Operator: We have the next questions coming from David Quezada from Raymond James, please ask your question.
David Quezada: Thanks. Hi everyone. My first question here, just on wind speeds, are you able to comment at all? I mean, it sounds like, like things have gotten better in France, so far this period. Could you just comment across your fleet whether or not wind speeds have kind of recovered or they're – how they have been relative to anticipate levels for 1Q?
Stephane Milot: The question Bruno was about wind speed for Q1. Now it looks like, versus Q4.
Bruno Guilmette: Hi, David. So as you know these wind forecast, our long-term averages and we do not particularly like to comment on a shorter-term basis on wind forecast. So I guess as we've said in the past there's hopefully some data available for you to look at but we don't give our forecast on a quarterly or before the quarter is over.
David Quezada: Okay. Understood. Thank you for that. Maybe just one other one for me. Curious if you have any thoughts around the upcoming election in France, certainly sound results in virtually all scenarios it's very supportive. The platform today is very supportive for renewables, do you see any changes potentially coming about from the election, depending on how that shakes out?
Patrick Decostre: The answer is globally no, but you never know what will happen in an election specifically since 2016. So I will not comment into the result, but what is – what seems to be clear is that if President Macron is reelected, he will go, because this is the industry's situation, it's not a question of politics. France need to somewhere refurbish and build some more nuclear because of the aging fleet. And France need a lot of renewable energy. And in every scenario, when you go to specialists specifically like RTE, RTE is independent from any politics, they are looking to scenario, as I mentioned, with a high potential for solar and wind, and offshore-wind and President Macron confirmed that. So that's what I think will be and I am confident that this is also within the European framework where there is commitment from France for 2030 and 2035. And this will continue. The European cannot remember the name, but it's the – 55% of reduction of CO2 from 1990, target for 2030 is there and it's a commitment of France.
David Quezada: That's great color. Thank you very much, Patrick.
Patrick Decostre: And just maybe another point it's – because I know that there is some noise about this in the market about the nuclear – the fact that nuclear has been recognize like highly efficient natural gas in European taxonomy as transition energy, not as green energy. This is important, but there is so much challenges on the nuclear fleet on one side, challenges in term of cost and delay. If somebody, in September, decided to really order new nuclear plan, they will be online in probably 2035, if everything goes well, and I cannot – I will not better penny on the cost and the budget. So this is a point. There will be challenges for – to bring HR in this business, a lot of engineers, a lot of specialized technicians like welders. And so, I think, for us, it's not an issue. And when you look to natural gas, it's a specific close for Germany because the Germans wants to close their coal for 2030 instead of 2038 during the Merckle period. But to do that, they need natural gas and they need highly efficient natural gas and they will have to switch their new plant from gas to high nitrogen one day or another and it should be green nitrogen. So when you put all that together, lots of opportunity for renewable energy in Europe.
David Quezada: Excellent. Thanks again for that, Patrick
Operator: We have the next question coming from Nick Boychuk from Cormark Securities. Please ask your question.
Nick Boychuk: Good morning, gentlemen. Thanks for taking my question. I'm wondering if we could get some extra color around the repatriating of the service and maintenance for the Quebec wind assets.
Patrick Decostre: I'm sorry, Nick. I'm not sure. I understand – we understand well your question. Could you just repeat it, please?
Nick Boychuk: Sure. So it was interesting to see that you've repatriated the service and maintenance contracts in some of the Quebec wind assets, I think it was about 160 megawatts. I'm wondering if you can give us a little bit more color on the decision making behind that, the impact that it might have on costs on margins and whether or not there are other similar assets that you could do such as a switch?
Patrick Decostre: It's – yes, yes. Sure, Nick. It's really in the optimization orientation of our strategic plan. We have started to do this in 2019 in Quebec with Le Plateau 2020 with – at the end of 2020 for Seigneurie de Beaupré and it's going very well. So we are pursuing our plan when it's possible with Enercon with the contract we have with them. We have a close to exit the contract and we are taking over their service and it's going really well. We are reducing the costs and we are increasing the energy availability because we are more flexible. We have people on the site, which are incentivized on the production and not just on the time based availability. And during the last months, I'm very happy because in the Enercon contract there is a lot of inflation close like in any O&M on contract. And we are somewhere protected from that, not totally but we are protected from the –some indexes of say German industry index, which are going up for 20 – like 20%, which is high. But since it's the cost is reduced on our side and it's internal, we are – it's also a protection on inflation. So it's going well and it's better than the budget on this side. It's one of the reason the global EBITDA is not exactly following the top-line and there is some optimization in costs.
Nick Boychuk: Okay. That's great color. Thank you. On the development cost side, I'm wondering if you could please give us a little bit more color if you're seeing any increased costs on either partnering or acquiring or sourcing even early stage development opportunities, some industry participants have been talking to or suggesting that the valuations and the cost of that earliest stage are increasing. Are you guys seeing that at all?
Patrick Decostre: Yes, this is clearly something which is a trend in the market because investors, more strategic investors are taking more risk with early-stage pipeline. This is why we have to invest much in our own people. And as you have seen, we're developing 3.1 gigawatt for the moment, which is really higher than if you go back three years ago, it was less than that. And we're really monitoring to be sure that every quarter we are adding new, real project, not just IDs and we have the right people on the ground to make the project. We have really increased also the size of the team for greenfield development in the U.S., I don't think I mentioned that three months ago, but we have starting real development negotiations with landowners and apply for grid connection in two other new states, outside state of New York when we will achieve some milestone that will, I would say where, where it is, but it's similar place. So, we are really investing to avoid, to have to pay for the premium on the project when you have to buy it from local, small developers.
Nick Boychuk: Okay. Got it. That makes sense. And then the last one for me, just on that organic growth machine, I'm wondering if you guys could please give a little bit more color on kind of how projects are moving through the pipeline stages. Obviously, there was the one project this quarter that really jumped through, I think, the typical stages. I'm just wondering if you can kind of give us an update on the timeline to get these projects through, to operation and if there are any other projects that we don't currently have information on, but that could somewhat soon reach that construction already to build base.
Patrick Decostre: Yes, essentially in the pipeline on the ways we are waiting for two important things. The first is the results of the NYSERDA 2021 tender. As I mentioned, we're expecting that in March. And so, this could be an important part. And the second part is also, I mentioned, we're preparing ourselves to the RFP that in Quebec. The government clearly mentioned that after the 300 and the 418 megawatts RFP for 2022, there will be other tender in the future because in Quebec, the province will need an increase of roughly 12% of electricity demand, which is a 20-terawatt hour, which is significant for Quebec. And they have reviewed their 2019 target. In November from the 29 – no, sorry, they have reviewed the – 2029 target from the target they had two years ago, and they have increased it by 6.5-terawatt hour due to the biofuel demand, the hydrogen demand, the battery factories, data center, blockchain, and all the new demand in Quebec. And so, this means an environment where we think there will be more RFPs. So, this is to think it's independent from us, the planning, but we think that this will be important move in the pipeline. And in France, it's more a question of, you can see, I think, every quarter we are announcing one or two projects which are moving to the right direction.
Nick Boychuk: Okay. That's great color Patrick. Thank you very much.
Patrick Decostre: Thank you.
Operator: We have the next question which is coming from Sean Steuart from TD Securities. Please ask your question.
Sean Steuart: Thanks, good morning, everyone. Patrick, I wanted to follow-up on the New York RFP. And I think the indication you provided is that the delays in the build back better legislation are gating factor to moving that forward. You are still indicating an expectation that will have results by the end of the first quarter. Can you reconcile those two things if we don't have any context on the legislation moving forward? Can we be confident on that timeframe still?
Patrick Decostre: Yes. It’s a good question. The first point is when it was – when the announcement was moved and announced to the bidders in December, it was because the administration and the government were optimistic for build back better. And you don't have to have the positive impact and some say windfall profit coming from that. Then what happens to build back better? What is the situation today is we expect that the State of the Union Speech next week on the 1st of March, will give some light on this, obviously the U.S. Administration is focused more on Eastern Europe for the moment. So that's still the last information I have from the team is that we are waiting for something in March, but could move the situation today was the U.S. administration is what it is. And that's how we can reconcile the planning.
Bruno Guilmette: And just to add to what Patrick said, the link that we're making is because of what Patrick mentioned between build back better and the bids, nicer that could decide to split those. I mean, they could decide that if build back better is delayed further, that they still announced the results or again, splitting the two elements.
Patrick Decostre: Yes. And on the politics side, the question on build back better was more on this social aspect and some aspect which are not the support to renewable energy. And so our understanding is that they will split also build back better into different legislation to go ahead with the part, which is accepted globally by the population and by the politics and wait to negotiate the other part, which was the challenge in December.
Sean Steuart: Thanks for that detail. My second question is with respect to your French organic development portfolio, you mentioned that all of the RTE scenarios are shifting more towards solar growth or at least faster solar growth and wind in all of the scenarios. Just wondering if you can give us a sense, the projects that you have in your early to mid stage solar pipeline in France, is there a bias to move those up faster than the wind projects or are you agnostic and certain in the overall portfolio that you have there?
Patrick Decostre: No, as you have probably seen, we have started to switch, not completely to solar, but to increase our development expenses and focus on solar development in France since before June this last year before the new strategic plan. So we have hired different people. Solar is a different challenge in France. Wind, the challenge is specifically social acceptability and the visible and landscape impact and biodiversity impact management. So this is the challenge on wind. The challenge of solar is more a question of land access. And so it's different people which should be dedicated to this development. So we are investing to accelerate this part and generally speaking the delay to develop a solar project in France is shorter than the delay to develop a wind project. So we are working on that. Just remind you that, yes, if you take, for example, the February 9 speech of President Macron in Belfort at the GE facility, he said, yes, he didn't say it like this, but finally he reduce the target for onshore wind from 50 to 40 gigawatt, but it means that it's still doubling the onshore wind in France and increase dramatically the solar part from 50 to 100 gigawatt, which is a good sign. And we have anticipated that in our strategic and in our team.
Bruno Guilmette: In fact that that also Patrick that what we’ve seen in the last most recent request of proposal is that still offer, cannot meet the demand on onshore wind. So this is still true. There’s still a scarcity of land in France, and it will remain. So we’re very positive about our pipeline and we intend to continue to grow it and to develop it to construction phases.
Sean Steuart: That’s great detail. Thanks very much.
Patrick Decostre: Thank you.
Operator: We have the next questions coming from Andrew Kuske from Credit Suisse. Please ask your question.
Andrew Kuske: Thank you. Good morning. I guess the first questions for Patrick and it just really relates to critical mass in a market. And when you’re going forth into a new market area and trying to develop it, you – what kind of resourcing do you think you need in that market for it really to catch and to really start being able to develop assets and have credibility with corporate buyers and local utilities and really off-take in general.
Patrick Decostre: Yes. It’s a good question. But there is different parts. To start a real Greenfield development, a team of five people, three years, it’s a good start. If you start – when we start New York, we didn’t put more than five people. When we – we are starting to other state, as I mentioned, it’s not more than that. In the UK, we have start through a partnership and we will definitely accelerate it because of the environment of price I mentioned. So we are – but the team of the developer is roughly 10 people were developing. So this is for Greenfield development for – to get a credibility, it’s another situation. To – first to get the possibility to have a team and some operation, I think we have an organization today. I saw clearly the difference in France from 200 to 300 megawatt when you are in this situation, you can have specialist people on land, but I was alone in France at that time. And but typically if we want to enter Spain or the UK, it will be the French team will give service, like we do in the U.S. from Ontario and Quebec. So it’s probably still something acceptable. And then to create the branding in the market it’s another thing. We have a clear brand in Quebec. We have a clear brand in France. In New York, we – I think we have a good brand in Greenfield, but we need to continue to develop our branding and reputation for to sign corporate TPO or to sign contract if needed. So it’s different stages.
Andrew Kuske: Okay. That’s very helpful color and context and given all the irons and the fire that you’ve got pretty disciplined at that. Maybe if I could turn the question out to Bruno just on obtaining that investment grade credit rating and just how you see the gating items on the balance sheet is you’ve got a fairly large opportunity set. And does that investment grade credit rating reinforce your credibility in the market and your ability to develop on a more accelerated basis into the future?
Bruno Guilmette: Thank you for the question. Certainly, we beehive that it’s an important milestone to reach and we’re organizing to reach it as soon as we can. As I think I said previously this is also to reach a balance between corporate debt flexibility and a long-term non-recourse debt on projects. So it’s important for us to achieve that balance, to achieve that flexibility and to get there to organize to get there. We need to continue to optimize our different sources of financings and we’re – we believe we’re close, but we have – we still have some work to do to get there and to for example, on some of our project depth, what it means in the future is we’ll likely tone it down a little bit on specific projects and make sure that we have more corporate inflows. There are also steps that we need to take to optimize our corporate debt as currently structured. So these are milestones that we’re looking at in terms of also getting cash flows from future assets that are being constructed as you mentioned the pipeline. So which we’ve talked about the additional revenues that we’re getting in Europe, for example. So I think all these elements taken together bodes well for us in the near-term to get to that result.
Andrew Kuske: Okay. That’s great. Thank you very much.
Operator: We have the next questions coming from the line of Ben Pham, Private Investor. Please ask your question.
Ben Pham: Hi, thanks. Ben from BMO Capital Markets. Couple of questions on France, is there any update on the potential paper recycling?
Patrick Decostre: Yes. As we’ve mentioned in the past, we are we’re going to an organized process on to get into a partnership with an investor in France with our French operations, both assets and the pipeline. And that process is well advanced and we’re happy to see keen interest in this partnership with Boralex in France. So we’ll come back with further details as in time, but this process is certainly demonstrating the interest that our French operation have – has raised in the – with private investors.
Ben Pham: Okay. And then through your conversation with these potential investors, has that opened up any other maybe incoming opportunities to maybe recycle other parts of your portfolio?
Bruno Guilmette: Certainly, what and it’s been a strategy really from the get go is we create values in by developing our assets, by developing our teams. We’re doing similar approach, Patrick mentioned, it’s in the U.S. We believe that’s where a good way for Boralex to create value. We’re also creating value on our operations obviously and so on. But so it’s a question of sequence. It’s a question of maturity of assets and markets. So to us, the market in France and our operations there were at the right time at the right stage for us to do that that partnership. We believe that we can create additional value by waiting a little bit on some other regions, for example. But clearly, we partnered in the past, this is – this processes going well and we expect to do more partnerships in the future.
Ben Pham: Okay, great. And what other question I had on France? How do you think about counterparty risk these days with EDF, the share price, the financial implications? Does that change your process on where you allocate capital and France going forward? Do they have any sway on future RFPs in France or is that all government driven?
Patrick Decostre: Yes, an important point Ben is – EDF is not acting as EDF as a corporation, EDF is acting when he is the offtaker of Boralex as the arm of the French state. So the offtaker is the French state. This is by low the role of EDF because of its obligation of public service coming from, I think 1999, is it correct? Yes, 1999 lower something like this. So it’s a long way when the – the French market was liberalized, EDF as some advantage of being a public service and some obligation of being a public service when he really act as the arm of the state. And this is exactly how other banks are looking to it. And if you want on, on that I can put a penny because the situation is after the election, the so-called project, which is a potential split of EDF into the public service part and the nuclear part on one side. And on the other side, the hydro, the renewable, the service and I don’t know where the grid will be will continue to go ahead. So something which we’ll make possible for the French state to finance new nuclear, and on the other side, and pay for it and the part of – the role of EDF would be clearly defined and is under the law we are protected. So no risk on this side.
Ben Pham: Okay. That’s a good reminder. Okay. Thank you everybody.
Patrick Decostre: Thank you.
Operator: We have the next questions coming from Naji Baydoun from IA Capital Markets. Please ask your question.
Naji Baydoun: Hi. Good morning. Just wanted to ask about your U.S. strategy. It’s been over a year now with the portfolio of solar assets under your boat. Maybe you can just give us a bit more detail on the next steps for Boralex and the markets where you acquired those assets. And if there are any learnings from the corporate PPA progress that you made in France, that you can apply to the U.S.
Patrick Decostre: Yes. Our strategy in the U.S. is, we continue to develop greenfield project in the state of New York, because we know that there is a yearly RFP generally during the summer, there is one I think which is scheduled for August. As I mentioned, we’re working on two other states to do the same, states where there is the possibility also to do large scale development and go through public RFP. On the existing contract, the 2019 contract we are working hard to say, align the plants, finalize the development on one side, meaning grid connection, and all the authorization to build, and also align the plants in term of return taking into accounts, the new costs, the new financing situation, and hopefully also the build back better direct pay situation and things like this. So we have to take into account everything and take a final investment decision on this project. And also last but not least, we are looking to some disciplined M&A in the U.S. to accelerate our penetration of the U.S. market and/or diversification also to solar.
Naji Baydoun: Okay. That’s great. So sounds like maybe FID this year on existing projects, and then exploring a couple of other states outside of New York. And my next question is on M&A. Do you feel any pressure to make any acquisitions to hit your 2025 capacity targets and maybe a bit more broadly sort of, is it going to take a corporate debt raise or would you prefer to wait at least for the minority stake still in France before you sort of commit to an acquisition?
Bruno Guilmette: You mentioned pressure, so I’ll just comment on that word. At first, there’s no pressure to – there’s a strategy to get to our numbers. There’s a strategy to get to – there’s a plan and timing, especially on M&A, somewhat unpredictable. M&A is part of the strategy as Patrick mentioned. So it’s not that there’s no M&A we can create value on M&A. But certainly, we can’t predict the timing these M&A opportunities need to fit in our criteria, return criteria, et cetera, and they need to fit with our strategy. So it’s assets where we can create value, where we can add value with our teams and our skill sets, it’s pipeline and it could be with teams or partnerships with other teams that are in, for example, regions, or as Patrick mentioned, more diversification in that solar. So this is really about a strategy. So, I mean, it will come when it comes. And if we're through our process on the French process, then we'll have some money available to that. And otherwise there are other sources of financings, we can tap depending on the size of the transaction. Financing, as I mentioned in my presentation is not is not really a problem for us at Boralex in this instance, we have – we are well funded too for a plan.
Naji Baydoun: Okay. Thanks. Thanks for that, Bruno. Just my last quick question for me. If I'm looking at your development pipeline, you have about 60 megawatts of advanced stage projects in Canada, and another 500 megawatts in mid-stage. Is that sort of the bulk of the projects you would potentially look to bid into the upcoming RFP in Quebec?
Patrick Decostre: Yes, it's the project we're developing for the need of Quebec, as I mentioned, 20 terawatt-hour to be added in the next seven years. So, if you, it could be this RFP could be another one, it could be another opportunity we're working on. But we are very confident that we have the right access to land and the right access to great connection on some of these project, which is a competitive edge for us.
Naji Baydoun: Okay. Thank you for the details.
Patrick Decostre: Pleasure. Thank you.
Operator: We have the next questions coming from the line of Mark Jarvi from CIBC Capital Markets. Please ask your question.
Mark Jarvi: Thanks. Good morning everyone. Just wanted to come back to the higher spot prices in France and clarify a couple things. One wasn't clear whether or not there was a component from a merchant exposure, or was it all or vast majority from the contract for differences?
Patrick Decostre: No, it comes, the main question we have very small merchant exposure. It's, I think eight megawatt from the first site of Avignonet that we kept in this, and some other, we have also in our, in one of our corporate PPA contract, we have a potential merchant exposure, but also a possibility to fix the price to define the price when it's interesting to us. So, this is the only pure merchant exposure that we have. On the contract, I mentioned 201 megawatt, you have to look to this slide, a floor price, the strike price is finally a floor price. And when you have reimbursed, we have – sorry, not you. We have reimbursed to EDF the same money Then we have received from EDF from the first day of the contract. Then the floor price is really a floor, and there is no more a defined price, but we are we are benefiting from the market price at that time. So, it's not a merchant pure exposure. It's a an asymmetric merchant exposure kind of floor.
Bruno Guilmette: Just one point on that Mark, just wanted to add that, never really talked about that because, we were not in this kind of pricing environment, but like the probability of getting this upside was quite low. But now that we are in this types of pricing environment this class for the 201 megawatt contracts that Patrick referred to applies now. So this is really something really new because of the pricing environment.
Patrick Decostre: One you've reimbursed the subsidy, you get the upside essentially.
Mark Jarvi: Got it. And then just based on that cumulative, and hitting that breakeven point does prior underperformance, like week win for existing assets for the last couple of years factor in for I guess the question is, is the upside in the existing assets the same as the upside in newly commissioned assets, or is it a bit of a difference between those.
Patrick Decostre: The upside of, it's apply on the first asset? We have 87 megawatt on CR16, 33 on CR17 and 81 on one to five of the request for proposal CR contract. So, CR16, we start putting this kind of asset in service in 2019, I think, because 2018, maybe some – one in 2018, I think, and then, so it's not old asset, and on these assets during the period until Q3 2021, we have received money from EDF. So this asset has to clear all the money they received from EDF with a market price between €45 to €50 say and a strike price, which is roughly for CR16, the strike price was €82 megawatt hour or say roughly €82. So you see the difference and my example is €30 Euro. And then during the quarter, the price go to €200 megawatt hours. So the difference is no more €30, the difference is €120. So it takes four times less with the same production to go back to the breakeven point. You understand my example. And so – and on new asset, on new asset, the asset that we will commission in the next months with the good contract I mentioned is 125 megawatt, since we have not – we will not receive any money from EDF from day one, we will enjoy and we will benefit from the market price from day one.
Mark Jarvi: Got it. Okay. And then just going back to the question about adding sort of into the construction ready build ready phase, you talked about potentially success in the RFPs, what about the stuff that's in your secured pipeline? Like this quarter, you added some stuff that was secured into build-ready. Is there anything that – if you got some final permits or authorizations could move into that phase and be ready for construction, then in commissioning in 2023? Are they more, a little bit longer dated everything else in that secured pipeline?
Patrick Decostre: The question is in the secured stage how many project you think and the timeline for the secured stage project, is it correct?
Mark Jarvi: Yes, exactly.
Patrick Decostre: Okay. So in the secure stage project, essentially we are only putting this part project, which are in line with our 2025 target. So for example, Apuiat is a 2024 – 2025 project. If you look to the older solar project in the U.S., it's all project, which are either 2023 and maybe 2024 for green corners. And there is no cliff date on this project, this is also important. And for the French project, I don't have the detail by heart. It essentially depend on the French project, which are in this part, it depend on final authorization or clearing challenges from third-party and on one or two of this project like [indiscernible]. And last but not least speaking about Limekiln in Scotland we are presently at the late stage of authorization of the expansion of the project in term of number of turbine and also increasing the size of the turbines. This is something where every, every developer in Scotland has to go. So we are in this process and as soon as we have a fully permitted project, we will really start to do the marketing for corporate PPA. And in the present environment, I think we will be able, I'm confident that we will be able to find enough data for this project. And then we have two years of contraction.
Mark Jarvi: Okay. And then maybe one final question for Bruno, just in terms of the cost for your France wind operations. I think they're down year-over-year in terms of dollars in euros, the constant currency basis. Is there one-time or is that just the benefit of the Vestas contract you signed a couple quarters ago?
Bruno Guilmette: I think it's a general strategy, our general approach to try to optimize our costs. So Vestas is one of them – one of these reasons, but certainly we're working through all the process on the operations, on the administrative costs. So it's some – it's part of our strategy of optimization on that. Also, Mark, we did a lot of optimization in Canada, too with our wind assets.
Mark Jarvi: Yes. Perfect. Okay. Thanks everyone.
Patrick Decostre: Thank you.
Stephane Milot: Right. So do we have the last question or, okay.
Operator: Yes. We have the last question from the line of Matt Taylor from Tudor, Pickering. Please ask your question.
Matt Taylor: Yes, thanks guys. Sorry. Squeaking in here, right at the last minute, stepped on just wanted to go back to the potential. Hey, how are you doing guys? Just wanted to go back, to the sale, understand it's still ongoing, but I'm just wondering in terms of funding, I think it'd be helpful just to refresh our memory on funding needs. Because I'm looking at your disclosure, you have about $287 million or so of capital invest that you’d still need to invest in that's under construction. And then if 20% of that is only about 60 million bucks, it looks like relatively modest, needs just what's in the, the project under construction. But if you want to just refresh your view on, on whether or not this sale is looking to cash up and fund those needs, plus the other projects that, that Patrick was walking through there and the secured growth, or do you have other plans for the proceeds?
Bruno Guilmette: Well, the proceeds would clearly go to some; I think everything is linked right; we talked about the investment grade rating. We talked about different things today, including organic growth and M&A. So the proceeds would likely go to some debt rebalancing with some debt, which is more expensive that we could pay down. And certainly we expect that we would have money remaining for growth, whether it be funding the pipeline. In the past, I've said that we're good until late – 2022 for funding. And so that's a starting point. And if we get the additional money or once we get it, then yes, we can apply this to what I've just said.
Matt Taylor: Okay, great. Yes, it's a bit of all the above approach is, is part of the way to think about that. Right. A bit of organic what's in the price, the – and maybe some M&A?
Bruno Guilmette: Yep. And it would clearly help us reduce our needs for equity issuance.
Matt Taylor: Excellent. Thank you very much for taking my question.
Bruno Guilmette: Thank you.
Patrick Decostre: Thank you.
Operator: There are no further questions at this time, I hand back the conference to you for any closing remarks.
Stephane Milot: All right. So thank you. Thanks everyone for your attention. It's been, I think our record calls an hour and 15 minutes, so we appreciate all the good questions and the interest in Boralex. So if you have additional questions please call me. And it's the same number 514-213-1045. I'll make sure we quickly answer your questions. So our next call to announce first quarter results will be on Wednesday, May 11. Hope you all remain healthy. Have a nice day ahead and enjoy upcoming spring vacations as much as we will do. Thank you.
Patrick Decostre: Thank you everyone.
Operator: Ladies and gentlemen, that does conclude our conference for today. Thank you for participating. You may now disconnect your lines. Thank you.